Operator: Good day, and welcome to Core Laboratories Q3 2019 Earnings Conference Call and Webcast. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to David Demshur. Please go ahead.
David Demshur: Thank you, Chris. Good morning in North America, good afternoon in Europe and good evening in Asia Pacific. We'd like to welcome all of our shareholders, analysts and most importantly, our employees to Core Laboratories Third Quarter 2019 Earnings Conference Call. This morning, I'm joined by Chris Hill, Core's CFO; Gwen Schreffler, Core's Head of IR; and Larry Bruno, Core's President and COO. The call will be divided into 5 segments. Gwen will start by making remarks regarding forward-looking statements. We will then review the current macro environment, updating industry trends pertaining to Core Lab's expected future performance, and then some current thoughts on worldwide crude supply trends. We will then review Core's 3 financial tenets, which the company employs to build long-term shareholder value. Chris will then follow with a detailed financial overview and additional comments regarding building shareholder value, followed by Gwen discussing Core's fourth quarter 2019 outlook and a general industry outlook as it pertains to Core's prospects.  Larry will then go over Core's 2 operating segments, detailing our progress and discussing the continued successful introduction of new Core Lab technologies and then highlighting some of Core's operations and major projects worldwide, then we'll open the phones to a Q&A session.  I'll turn it to Gwen for remarks regarding forward-looking statements. Gwen?
Gwendolyn Schreffler: Thank you, Dave. Before we start the conference call this morning, I'll mention that some of the statements that we make during this call may include projections, estimates and other forward-looking information. This will include any discussion of the company's business outlook. These types of forward-looking statements are subject to a number of risks and uncertainties relating to the oil and gas industry, business conditions, international markets, international political climate and other factors including those discussed in our 34 Act filings that may affect our outcome. Should one or more of these risks and uncertainties materialize or should any of our assumptions prove incorrect, actual results may vary in material respects from those projected in the forward-looking statements.  We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For a more detailed discussion of some of the foregoing risks and uncertainties, see Item 1A, Risk Factors, in our most recent annual report on Form 10-K as well as other reports and registration -- registration statements filed by us with the SEC and the AFM.  Our comments include non-GAAP financial measures, reconciliations to the most directly comparable GAAP financial measures is included in the press release announcing our third quarter results. Those non-GAAP measures can also be found on our website.  With that said, I'll pass the discussion back to Dave.
David Demshur: Thanks, Gwen. Now for some industry trends and some comments on our 3 financial tenets. Core is encouraged that operating companies are furthering their commitments to operating within the free cash flow and emphasizing returns on invested capital as demanded by today's investors. This trend benefits Core, whose clients tend to be technologically sophisticated and are heavy users of technology over commodity-driven solutions.  During the third quarter, Core continued to host several conference calls and industry sessions for various industry groups and analysts to discuss optimal well spacing, rightsizing, upsizing, well positioning and parent-child well relationships. Proper upsizing and well spacing are 2 of the most discussed topics with Core's clients today. Further up spacing will be seen in 2020.  Improving perforating efficiencies and effectiveness rank a close second, which is led to the recent commissioning of Core's cutting edge, Reservoir Optimized Completions Laboratory or ROC Lab and Core's Fit-For-Reservoir strategy for completion. The Fit-For-Reservoir strategy is yielding significant changes in stimulation and completion practices.  The industry will continue to add perforating clusters per stage, yielding less but more complex stages, while lateral lengths are near maximum owing to frictional forces. Perf clusters are increasing to as many as 15 to 20 and may be going to 25 per stage, reducing the time and cost for well completions and stimulation programs owing to the lower stage count.  The reason for more perf clusters and fewer stages are our clients are changing the way reservoir rock is being stimulated to produce the maximum amount of stimulated reservoir rock volume in close proximity to the wellbore. Long frac channels are to be avoided as they are the source of well interference and child -- parent-child well relationships. It is possible to rebelize more Stimulated Reservoir rock volume in the near-wellbore region and avoid costly well interference problems using more perf clusters.  Addressing a new and growing market, the acquisition of Guardian Global Technologies continues to be a technological windfall for Core Laboratories. We continue to receive positive client feedback, and we have increased market acceptance and market share of our industry-leading preassembled energetic system via the company's GoGun. Core's current biggest challenge is scaling up to meet GoGun demand as automated systems continue to be added.  The most critical components of any preassembled energetic system remain the perforating charges and their interaction with the reservoir rock. Core's industry-leading ballistics team continued to innovate the best performing perforating systems, including Core's most recently introduced refrac system that significantly improves the results and economics for refrac-ed wells. The number of wells that will be refrac-ed in the future will go up significantly. The last and most important trend for Core is that client activities have increased -- continue to increase in the international and deepwater longer cycle projects that will be needed to meet future production demand. This foreshadows the increase of activity from the 25 FIDs that were approved in 2017, another 25 to 30 in 2018 and approximately 25 more that are queued up in 2019.  Revenue from longer cycle projects have mainly been absence -- absent from Core's Reservoir Description revenue streams dating back to 2015. However, this increased international activity did bolster Reservoir Description revenue in the third quarter of 2019, our highest revenue since the fourth quarter of 2015.  Now for some comments on worldwide crude supply. The macro outlook in looking at worldwide liquids production. Current worldwide production is about 100 million barrels a day, an all-time high. This is made up of about -- of 84 million barrels a day of crude and 16 million barrels of natural gas liquids. Of note, worldwide conventional discoveries over the last three years are at a 70-year low. The last decade in which the globe discovered more oil than it produced was the 1970s. U.S. production is currently at 12.4 million barrels a day, another record. 8.85 million barrel of this are from unconventionals. This is led by the Permian at 4.55 million barrels a day. Of note is the Eagle Ford is now in permanent decline and the Bakken nears its peak production. 3.35 million barrels are from conventional reservoirs, 1.8 million of this is from the Gulf of Mexico, which is also at a record production. Non-OPEC and non-U.S. production is down for the 7th-year in a row, offsetting gains in Russian production, which fell by 50,000 barrels a day in September.  OPEC production is right now, at an 8-year low at 38.9 million barrels of oil a day, down 750,000 barrels last month due to the disruption in Saudi production, due to supply growth will be limited to 4 countries. The U.S, which is estimated now to be up 700,000 barrels a day in 2020. By the way, we'll take the underarm act. Norway, the Johan's Sverdrup is to introduce 440,000 barrels of new production in 2020. Guyana, the first oil from linked Liza is at 190,000 barrels a day early next year. There'll probably be another 200,000 barrels a day. So total new supply will be about 1.3 million barrels a day in 2020.  It's also noted that significantly lower ads are targeted for 2021 and 2022. Remember that the client perf always wins and it never sleeps. Now to review the 3 financial tenets by which Core has used to build shareholder value over the 24-plus-year history of being a publicly traded company.  During the third quarter of 2019, Core generated over $20 million in free cash, marking the 72nd consecutive quarter of generating positive free cash. Core has no plans to cut our dividend as we review its importance to our investor base, especially our European investor base as being sacrosanct. With the emergence of the international markets pushing Core Lab revenue and operating margin, Core is confident that the company's asset-light model will allow Core's future free cash flow to more than cover the dividend in 2020. And to further bolster free cash flow, the company continues to streamline businesses via increased automation and continues to review operating structures to rightsize cost for the current market conditions.  Also in the second quarter, Core once again produced oilfield industry-leading return on invested capital for the 40th consecutive quarter with ROIC approaching 20%. And Core's 3rd financial tenant, we returned 25 -- approximately $25 million back to our shareholders via our quarterly dividend. Core will continue to return capital back to its shareholder via our quarterly dividend and share repurchases as free cash flow levels increase.  I'll now turn it over to Chris for a detailed financial overview. Chris?
Christopher Hill: Thanks, David. The guidance we gave on our last call and past calls specifically excluded the impact of any FX gains or losses and assumed an effective tax rate of 20%. So accordingly, our discussion today excludes any foreign exchange gain or loss for current and prior periods.  Now looking at the income statement. Revenue from continuing operations was a $173.2 million in the third quarter, up 2.5% compared to last quarter, which was driven by higher levels of activity on projects being developed outside the U.S. Of this revenue, service revenue was $120.8 million for the quarter, up over 2% sequentially and reflects the increased activity from international and offshore projects.  Product sales, which is more tied to North American activity, were $52.4 million for the quarter, also up over 2% from last quarter. Considering the decline of completion activity for the U.S. onshore market during the third quarter, we are pleased with the performance of our product sales, which was led by our high energetic sales and market penetration of the addressable select firing switch and the GoGun.  Moving on, the cost of services for the quarter are 71% of service revenue, down from 73% in the previous quarter as operational efficiencies continued to improve. Cost of sales in the second quarter was 76% of sales revenue, up just slightly from 75% in the previous quarter. G&A for the quarter was approximately $11 million, which is up a little from $10 million last quarter. For 2019, we now expect G&A ex-items to be between $42 million and $43 million for the year.  Depreciation and amortization for the quarter was $5.7 million, which is comparable to the last several quarters. For the remainder of 2019, we would expect depreciation expense and capital expenditures to remain at similar levels. EBIT ex-items for the quarter was $31.8 million and continues to yield best-in-class EBIT margin of 18.3%. GAAP EBIT for the quarter was $31.2 million. Income tax expense for the quarter was $5.6 million, using an effective tax rate of 20%. GAAP income tax expense for the third quarter was $3.3 million and lower as a result of discrete items that benefited the rate this quarter.  We continue to project our effective tax rate to be approximately 20%. Additionally, as discussed in prior earnings calls, the effective tax rate will be somewhat sensitive to the geographic mix of earnings across the globe and the impact of items discrete to each quarter.  Income from continuing operations ex-items for the quarter was $22.5 million, up $1.8 million or almost 9% from $20.7 million last quarter. GAAP income from continuing operations was $24.2 million for the third quarter. Earnings per diluted share from continuing operations ex-items was $0.50 for the quarter, also up almost 9% from last quarter. GAAP EPS from continuing operations for the third quarter was $0.54.  Now we'll move on to significant aspects of the balance sheet. Receivables stood at $137.4 million, up a little from previous quarter and up $8.2 million from year end. However, our DSOs remained consistent at 67 days for the quarter. Inventory stood at $53.5 million, up about $4 million from June 30, as we made additional bulk purchases of raw materials, and we're building inventory for new product lines like the addressable select firing switch and the integrated GoGun systems.  Inventory turns were 3.1 for the third quarter, and we anticipate inventory turns will improve for the fourth quarter of 2019. Our long-term debt at quarter end was $299 million, up $7 million from last quarter end. Our debt is comprised of our senior notes at $150 million as well as $149 million under our bank revolving credit facility. Looking at cash flow, in the third quarter, cash flow from operating activities was $26 million. And after paying for the $5.3 million in CapEx, our free cash flow in Q3 was $20.7 million, which is the 72nd consecutive quarter Core Lab has generated positive free cash flow.  Improved operating results in the third quarter also resulted in levels of -- higher levels of cash flow from operations. However, some of this improvement in cash flow was absorbed in higher levels of working capital. As we continue to expand the offering and production capabilities of our high-end perforating products, some additional investment in working capital will also be required. For 2019, the company anticipates that its CapEx will be approximately $23 million.  As Dave previously mentioned, the activity associated with projects in the international markets is important for Core Lab. This, combined with our cost reduction actions, will continue to support the expansion of our operating margins and future cash flow to more than cover our dividend over the longer term. Our free cash flow conversion ratio, which is free cash flow divided by income from continuing operations and using a normalized 20% effective tax rate, continues to be one of the highest in the industry at just over 90% for the third quarter of 2019.  We still believe this is an important metric for shareholders when comparing company's financial results, particularly for those shareholders who utilize discounted cash flow models to assess valuations. I will now turn it over to Gwen for an update on our guidance and outlook.
Gwendolyn Schreffler: Thank you, Chris. During the third quarter of 2019, the balance of supply and demand for the global crude oil market did not materially change. Although, the disruption of supply from Saudi Arabia temporarily adversely impacted production output. While crude oil demand growth has weakened over the past 6 months, crude oil supply growth is predicted to modestly increase from non-OPEC countries, though that growth will likely be offset by declines from OPEC, its aligned countries and more mature hydrocarbon provinces.  Core Lab projects global crude oil inventory levels will continue to decline as potential growth in the world's crude oil production essentially is limited to 4 countries. The anticipated decline in the global crude oil inventories is also expected to result in a reduction in days of consumption of crude oil in inventory over the coming months, which should support a higher crude oil price.  While market concerns exist regarding the balance of crude oil supply and demand, crude oil production additions are limited on a global basis. As Dave mentioned, Core believes that only the U.S., Norway, Guyana and Brazil can add meaningful crude oil supplies over the next few years.  The decline curve is prevailing in the mature crude oil fields internationally suggesting a supply gap over time. The balancing of crude oil supply and demand supports the crude oil price, which underpins the reinvestment and final investment decision in the international crude oilfield project. These international investments are critical as the decline in production from the mature fields continues and new field development is required to replace current supply. These underlying fundamentals for the crude oil markets drive the international activity levels of Core's clients. Therefore, our outlook on international projects remains positive for Core's Reservoir Description segment.  Turning to the U.S. While U.S. operators continue to focus on generating free cash flow and investment -- return on investment, optimizing well completions remains a significant opportunity to improve the return on investment for the development of their fields while managing their capital budgets. However, as U.S. operators have publicly indicated, they're focused on free cash flow and spending within the 2019 budgets are priorities.  This was apparent during the third quarter 2019 by the notable declines in both the U.S. onshore rig count and completion activity. As a result, Core believes fourth quarter U.S. land activity will continue to decline from which Core's Production Enhancement segment will be most impacted. Core's Reservoir Description segment is also expected to be impacted by the U.S. onshore activity decline, though to a lesser degree. Therefore, considering expected but uncertain level of decline in U.S. land activity, we project consolidated fourth quarter revenue of approximately $161 million to $163 million and operating income of approximately $28 million to $29 million, yielding operating margins of approximately 18%.  The company's EPS for the fourth quarter 2019 using an effective tax rate of 20% is projected to be $0.44 to $0.45. Core Lab is executing cost control actions, announced earlier this year. Further, we will continue to evaluate opportunities to efficiently align the business with market condition. Core Lab's fourth quarter 2019 guidance is based on projections for the underlying operations and excludes gains or losses from foreign exchange. Now I'll pass the discussion over to Larry.
Lawrence Bruno: Thanks, Gwen. First, I'd like to thank our global team of employees for providing innovative solutions, integrity and superior service to our clients. The team's collective dedication to servicing our clients is the foundation of Core Lab's success. Turning first to Reservoir Description. In the third quarter of 2019, Core Lab, under the direction of Santos Limited, continued work on an extensive laboratory program designed to evaluate conventional cores and reservoir fluids from the shallow-water Dorado discovery, located offshore Western Australia.  More than 700 feet of conventional core were recovered from this high-quality sandstone reservoir. Core Lab utilized its proprietary CAT scan based Digital Rock Characterization technology to determine lithologic characteristics in the intervals of interest. In addition, the Digital Rock Characterization work enables Santos and Core Lab's technical staff to work quickly to select representative rock samples for advanced geological and petrophysical testing. The ongoing physical measurements that are being conducted on these representative samples are crucial for accurate pay zone modeling, downhole log calculation and reserve calculations.  In addition to the reservoir rock characterization programs, subsurface hydrocarbon samples were collected from multiple stratigraphic horizons within the reservoir. Core Lab used its proprietary mercury-free, Pressure-Volume-Temperature or PVT cells to determine the phase behavior relationships of the hydrocarbons under varying conditions.  Core Lab is pleased to be playing a role in evaluating one of the largest hydrocarbon discoveries, offshore Western Australia. Also in the third quarter, Core introduced a new technological offering to meet client needs. During the exploration, appraisal and development phases of oil and gas fields, critical early-time geological, petrophysical and reservoir fluids properties data are required to meet these needs. Core Lab has developed several proprietary technologies to measure, integrate and deliver these large complex data sets.  Core's non-invasive technologies for reservoir optimization, branded as NITRO, includes dual energy computed tomography, micro-CT, high-frequency nuclear magnetic resonance, high-resolution gamma logging and continuous high energy x-ray fluorescence along with other Core Lab proprietary technologies. Core Lab's digital innovation group integrates results and interpretations from these noninvasive technologies into a comprehensive, web-enabled platform for client access.  This allows Core's clients to gain insight into their core intervals at an accelerated pace, well in advance of results derived from time-honored laboratory analysis. Through this integrated visually interactive platform, key reservoir performance indicators are presented, evaluated and shared within client workgroups. Core Lab has been an industry leader in the digital transformation of the oilfield service space over the past 10 years. NITRO represents the latest cutting-edge innovation in applying digital technologies to evaluate reservoir properties.  Moving now to Production Enhancement. Core's Production Enhancement energetics team partnered with one of the world's largest independent E&P companies to develop a breakthrough perforating solution for their mechanically isolated recompletion programs in both the Eagle Ford and Bakken formations onshore U.S. This technology helped the operator minimize risk, improve recovery from existing wells and optimize their return on investment. In mechanical isolation completions, a liner is run and cemented inside the well's existing perforated casing, isolating old perforations and allowing for new plug-and-perf operations. This approach offers distinct advantages, particularly compared to less reliable diverter products.  To be successful, mechanical isolation relies on the ability of the perforating energetics to effectively penetrate through 2 layers of tubulars, commodity perforating charges, including those that attempt to deliver consistent perforation hole size to a single string of casing, typically produce small and inconsistent hole sizes when shot through two strings of tubulars. These substandard perforations produce inadequate stimulation results. The small inconsistent holes from commodity charges require slow pump rates, yield high perforation friction and increase the time required to stimulated stage.  Core's ReFRAC Perforating Technology is engineered to deliver optimal and consistent hole sizes through both strings of tubulars, regardless of gun position, allowing for new zones within existing laterals to be effectively stimulated. To-date, numerous wells have been successfully completed in both the Eagle Ford and Bakken using Core's proprietary ReFRAC Perforating Technology. The operator has reported the ability to complete double the number of stages per day over conventional perforating techniques.  The E&P company has also seen consistent and reliable frac -- fracs from stage to stage and well to well along with encouraging production results. Core's refrac technology breathes new life into the large fleet of older existing wells that were originally under-stimulated.  High-quality reservoir rock and the intervals between the original stages can now be tapped, increasing oil recovery and significantly without the expense of drilling and completing an additional well. Also in the third quarter of 2019, Core continued its work on a comprehensive completion diagnostics program for LLOG Exploration on its deepwater Buckskin project in the Gulf of Mexico. Core's diagnostics technologies were used to evaluate sand control options for log explorations deepwater completion strategy. The reservoir having multiple pay zones require separate completions across each reservoir horizon, given the multiple pay zones and varying rock properties, LLOG Exploration elected to use an alternative completion approach.  Core utilized its SpectraStim, SpectraScan, PackScan and FLOWPROFILER diagnostic services to provide direct measurements of the completion quality as well as to determine the completion fluid recovery and the oil contribution from each of the completed stages. Core's diagnostic services helped guide LLOG Exploration decision to frac pack the well using a single-stage/multi-trip strategy, as opposed to the more typical multi-stage/single-trip strategy. This approach will allowed for more proppant to be placed in each target zone while minimizing operational risks. Core's diagnostic services confirm that all the frac pack completions were effective and sustainable, providing the operator with confidence to flow the well at a higher rate. The well achieved higher than normal drawdowns with no degradation of flow capacities. Core Lab is pleased to have been able to assist LLOG Exploration on this very significant project.  That concludes our operational review. We appreciate your participation. Chris will now open the call for questions.
Operator: [Operator Instructions]. Our first question is from Byron Pope of Tudor, Pickering, Holt.
Byron Pope: First question just related to Reservoir Description. You all continue to see very healthy international top line growth within that segment and trying to pin you down on 2020. But as you think about your international job board and what you have on tap in terms of rocks and fluids analysis were drawn from international and offshore reservoirs. Could you just qualitatively frame, how you're thinking about the international component of Reservoir Description from a growth perspective?
Lawrence Bruno: Yes. Byron, Sure. Our overall project board remains positive, and it's in better shape than it's been since the downturn began. If you look back over the year-to-date, you'll see a 9% growth year-over-year in Reservoir Description. That being said, these projects are largely international. They tend to be large projects, and they can be lumpy quarter-to-quarter but the trend clearly looks favorable for us. We see the next year 2020. We see it in, call it, mid- to high single digits.
Byron Pope: Okay. That's helpful. And then my second question just relates to the Q4 guidance. I just want to make share I'm thinking about this the right way. So it sounds like, even though the top line erosion will be more pronounced for Production Enhancement, sounds like there will also be a little bit of that for Reservoir Description. But in the -- the implied margin erosion is a lot less than it was the case in Q4 last year. So is that predominantly a function of the cost control actions that you all have taken? Or is it an element of job mix that plays well? Just again -- just trying to understand the context behind that in Q4 guidance.
Gwendolyn Schreffler: Yes. Byron, that's right. They're a combination of those. And permanent reductions that we've made in our cost base as well as looking at Q4 is more of a transitory time period from an activity standpoint. We're going to utilize furloughs for that temporary nature of the reduction in activity for Q4 to Q1.
Operator: The next question is from Ian MacPherson of Simmons.
Ian MacPherson: In addition to the cost cuts that you've -- in the furloughs that you're undertaking to stabilize your margins, clearly at a more, I think, defensive level than we, otherwise, would have expected given a 6% to 7% revenue decline in the fourth quarter. Is there anything evolving within your product mix? I mean I'm talking about the switch and the GoGun, specifically, and Production Enhancement that is creating variance in the, sort of, normalized margin within Production Enhancement. And then also as we begin to learn more about the evolving market channels for these integrated guns, we are seeing at least some on the periphery on the wireline side seeking to unbundle and compel operators to purchase integrated gun systems rather than contract them through wireline companies. Are you seeing that in the marketplace? And are you open and agnostic to that? Or do you feel that, that is a disruption in the sales channel for your gun systems that you would resist?
Lawrence Bruno: So a couple of -- cover quite a bit of ground in question, I'll try to go through those. The -- there are several new products that are helping support margins in Production Enhancement. So the addressable switch, the preassembled guns and refrac also -- all seeing very nice adoption rates. We're a bit agnostic to whether people are buying components or preassembled guns. We are positioning ourselves to be able to adapt to whatever the client demands are. Also significantly, our preassembled guns use an open architecture structure, which allows clients to match the amount of flexibility at the well site to make, sort of, on the fly real-time decision changes if they want to switch out for a different type of our energetic offerings.  So we've gone into this market understanding that the energetics at the end of the day are the bulwark of any perforating project. And that the preassembled gun, while it offers a convenience opportunity for the operators and wireline companies, that's carrier for the important -- the business end, if you will, of the perforating job, which is the energetics.
Ian MacPherson: That's very helpful. And then just with regard to the possibility of wireline companies unbundling your products and pushing operators to self-source. Is that something you've seen or expect to see and have a position on?
Lawrence Bruno: Not particularly. I think we among all of the folks in this space have maintained a very nice flexibility in that we have all of the components, and we can assemble all of it together. We've got great connections. We make a value proposition on the quality of our energetics to the operators, and the example that I cited earlier about our refrac program that we did with that large E&P -- independent E&P, that's a great example of how we work closely with the operating companies to identify what specifically they need in terms of performance of energetics, and then we get our really talented ballistics engineers set to work on it and brought a new product to market. That's also very reflective of how Core Lab does nearly all of its R&D., it's client driven solution problem. And so our -- we do deal with the wireline companies. They have a critical role to play in deploying energetics and doing the perf jobs. But a lot of our efforts are -- have always been focused on selling the value of our energetic performance to the E&P companies.
Operator: The next question is from Chase Mulvehill of Bank of America.
Chase Mulvehill: So I guess, I just want to stick on the energetic side of it. Could you talk a little bit about the competitive environment of energetics and particularly may be the integrated guns, and what you're seeing on the pricing side? And then I also didn't hear whether energetics revenue was actually up in 3Q, I'm assuming it was but I hope you can give us some color there.
Lawrence Bruno: Go ahead, Gwen.
Gwendolyn Schreffler: Yes. I can give you some color on that, Chase. The U.S. energetics was down slightly about 4.3% year-over-year. And when you compare that to completion activity in the U.S., it compares favorably, completions were down about 10% year-over-year. And then on a sequential basis, it was about 6% sequentially for U.S. energetics in terms of a decline but also compared favorably to the decline of 11% with U.S. completion activity.
Chase Mulvehill: Okay. And then what about pricing, is pricing holding up, or is it getting a bit more competitive given the decline in activity?
Gwendolyn Schreffler: Pricing is holding up nicely. Because, again, we're targeting the high end -- operators that want to use high-end energetics to communicate with their rock.
Chase Mulvehill: Okay. All right. That makes sense. Switching over to Reservoir Description and just trying to connect the dots relative to your consolidated revenue and margin guidance. Could you just hold our hand a little bit and help us understand what's going to happen in the fourth quarter with Reservoir Description relative to top line and margin?
Lawrence Bruno: So I think, not really -- we don't give sector guidance specifically, but we do see a strong project board. As I mentioned earlier, it's in the best shape it's been throughout the recovery and looking good. And as I also mentioned earlier, that tends to be -- if you go back and look at Reservoir Description performance through time, you'll see that it, in any part of the cycle, there's a little bit of lumpiness in it because the projects tend to be large, international. We have no control over what happens if a rig has a problem or they have stuck in a hole somewhere. But the trend, if you look at where we've been over the last, say, 12-month cycle year-over-year, Reservoir Description international revenue up 9%. We are seeing, I would say, roughly flat sequentially on Reservoir Description for the fourth quarter.
Chase Mulvehill: Okay. And is there an opportunity to take cost out of Reservoir Description as you kind of go into 2020, if it's kind of a mid-single digit growth?
Lawrence Bruno: So Chase, we are constantly looking at that. We -- earlier this year, we divested a nonperforming asset that we weren't satisfied with the returns we were getting on it. Also we look at labor, the biggest part of our cost in Reservoir Description. And so, we continue to rollout laboratory automation that helps us to produce more work through the same number of people, and so i think that's another knob that we continue to turn. But across the company, we're continually evaluating all opportunities to run the business as efficiently as possible.
Operator: Next question is from Blake Gendron of Wolfe Research.
Blake Gendron: Just want to touch on Reservoir Description for a bit. One of the driver that we've been focused on is the changing of hands of certain non-core conventional assets from the IOCs to maybe more regional players. I was wondering if this is a driver outside of the normal FID and activity cadence that we track on the Eastern Hemisphere, and may be framed for us what the opportunity is for Core Lab as these assets change hands.
Lawrence Bruno: Yes. It actually is good thing for us because they've got to dig in and figure out what they don't know already. So one of the areas that we can leverage is, particularly, on our joint industry project that we own the rights to in those projects multiple companies have given us their rocks and their fluids and their log data and their well information. We consolidate those into databases and interpretive studies. And then when a new entrant comes into the market having just acquired the asset not a company, that new entrant does not get access to the study that may be the original E&P company would have purchased into. So the new investor or the new player in the game would have to come to us to buy that off the shelf. When that happens, that puts some very high margin dollars into our revenue and profit stream.
Blake Gendron: Is there anyway for you to frame for us what part of the job board right now is related to activity like that?
David Demshur: I don't think we sliced it that way specifically. But we are aware, I'd say it's not a huge one. We're aware of some of these projects that in transition where there's been 1 company that's maybe really good at the exploration side of the business and wants to move on and continue to leverage their particular skill sets on the exploration side, and they'll turn it over to another company that may be is a little better tuned up to the turning of the screws and valves that are required to bring a field on to production. And so we follow that, and we work across both companies to make sure that we stay engaged.
Blake Gendron: Okay. Great. And then following on Ian's line of questioning. Could you just frame for us what the sales effort or marketing effort is, maybe on the GoGun specifically and then separately for the HEROPerFRAC system going direct E&P versus the wireline company, and if that's changed meaningfully over the last 6 months?
Lawrence Bruno: No change. We work across both. The wireline companies are the ones that have the license to hold the energetics. They are sometimes tasked to do a job, and so we sell to them but by and large the predominance of our efforts on sales and marketing are made to the operating companies. We're making a value proposition on the performance of our energetics, and they then go into the wireline companies and direct them to use Core Lab energetic products.
Blake Gendron: Okay. Perfect. And then last one, you did mention the furloughs and I understand you have to be a little bit sensitive on the messaging here. But you guys obviously, don't operate in the frac crude business and so perhaps, furloughs for you are a little bit different because you're specialized on the labor front. Could you just give us a little bit more color as to how those will look into the fourth quarter? And maybe how you expect to rehire as we head into 2020? Is there any risk, I guess, to perhaps, losing some folks early next year that have been more specialized?
Gwendolyn Schreffler: Blake, the answer to the question in terms of retention of folks, that's the beauty of furloughs. Because while you can reduce the number of days in the workweek, thus the number of hours and bring that cost base down, they're still gainfully employed, their benefits are still intact, their vacation, sick leave, those sorts of things still remain intact. And so because Production Enhancement will be the most impacted, that's where we're leveraging the furloughs the most in terms of that segment.
Lawrence Bruno: I add to that, Blake, that we've used furloughs before. Gwen has been -- led the program first time we rolled it out a number of years ago. It -- we found it to be a very effective program for both the company and the employees as well as our shareholders. It -- what it allows us to do is navigate through soft patches in the market, employees remain -- maintain their benefits. They are typically on a somewhat reduced work schedule as they are not furloughed completely where they go home and don't have an income coming in. So there'll be a modified work schedule. And very importantly, for Core Lab and very much in our philosophy having been through multiple cycles, it allows us to protect our brain trust, which is the foundation of our business and of any technologically driven business.
Operator: The next question is from Sean Meakim of JPMorgan.
Sean Meakim: On Production Enhancement, you mentioned that you're agnostic at components versus integrated systems. And your systems have open architecture but I think most or all of your competitors have the closed systems. So to what extent does that make it harder for you to take back market share going forward as some wireline providers now offer their own closed integrated systems, and maybe have more incentive to try to push their own systems when they did historically. So does that dynamic of closed architecture among your peers reduce your total addressable market in any way versus prior?
Lawrence Bruno: Sean, I think the best perspective on that is that there are number of wireline companies, some big brand names that we're all familiar with, that have always been in the business of making their own energetics, and we've had no problem penetrating into that market space. In fact, you'll see some of those name, brand, wireline companies on our client list, specifically, because the E&P companies have instructed them go get Core Lab energetics, I want that performance.
Sean Meakim: But prior to this move towards integrated system, you were trying to get out of the gun business, which was -- you just commoditized. And so those guns were being provided by someone else. And now perhaps, some of those guns provide are excited to be selling more integrated systems. Do you view that as a different dynamic? Is it not a different dynamic than previously where you were focused on solely selling energetics? And now you're, due to shift in customer demand, having to focus more on these integrated systems?
Christopher Hill: Sean, this is Chris. I think when you think about it, it's -- yes, the market was more componentized. So folks that were making only guns didn't necessarily have the new electronic addressable switch or even the energetics in a lot of cases. So it is a shift. But for us, like you said, and which is correct, we had been getting out of the gun-making market, especially when it was still componentized and those were more commoditized. Now that it's an integrated system, I think you have to think of it as a package, which does have components within that, the superior energetics this new addressable firing switch, that makes it a more attractive product for us to get into and go after. And if our customers buy these superior energetics from us, they see the value proposition. If they want an integrated gun system, we want to be able to offer that.
Sean Meakim: Okay. Just to follow-up on the R&D 2020 discussion. It sounds like given the rig count improvement offshore this year, you feel confident that you're going to get high revenue next year for the segment. But as we're where thinking about magnitude, is it fair to say that the overall expectation is going to be somewhat tempered by the 20% or so that's North America levered? And so is that may be shaving off a few hundred basis points on the overall growth expectation versus what you'd expect for just the international offshore piece?
Lawrence Bruno: Yes. A couple of things on that. Maybe I'll give you a little color. One is that the Core Lab's R&D involvement in these projects tends to be a little later cycle than some of the other service companies that are focused on hardware, getting rigs in place, things like that. That has to all happen before Core Lab gets their turn at the plate before rock and fluid samples are taken, find their way into the lab, announcements are done and results are delivered. So we tend to be a little bit later in the cycle than some of the other companies. I do think that there are, call it, potential headwinds on the North America side that are inevitable and unavoidable. And so we are preparing our market for -- or our business for a market that includes that uncertainty.
Operator: The next question is from Scott Gruber of Citi.
Scott Gruber: Question for Chris, working capital was a drag in the quarters, as you highlighted. Sounds like there will be a release in 4Q. How should we think about the size of that potential working capital benefit or where you can take days if that's easier?
Christopher Hill: Yes. Scott, that is correct. I think what you saw in Q3, some of that we spoke to, which is we are building inventory around some of these new product offerings in the Production Enhancement segment. So there is a natural build, they're just -- it's going to be a little bit higher than we've traditionally carried as the expansion of products. But some of that is also a little seasonal. You'll see some bumps from 1 quarter to another due to bulk purchases of raw material, so that also impacted Q3. When you think about how that looks going into Q4, what I would do is model what we're looking at for revenue and then keep a consistent day sales for the receivables but I would expect some improvement in the inventory. So we are targeting and our guys are targeting to reduce inventory from where it is currently. So you should see a nice pick up from working capital in cash flow in Q4.
Scott Gruber: Got it. And then Dave or Larry, as we think about well spacing, parent-child effects, it seems that your focus is around these trends positively impacting energetics and intensity is playing out. Can you also provide some color on the benefit you're seeing on the diagnostic service side? It seems like tracer services were a driver supporting Production Enhancement during the quarter. What are you seeing in terms of the demand from E&Ps for diagnostic services given the focal point on spacing, parent-child, et cetera?
Lawrence Bruno: Yes. So two things on that. One is, I think the -- maybe -- sort of high-level, early-on misconception that they could come up with a specific footage optimum well spacing. I think that's -- people are broadly aware that's not going to happen now. And we've been aware of it for quite some time and our completion diagnostics are that, sort of, that thermometer, if you will, or that analytical device that allows the -- an operator to say for a given rock -- set of rock properties in a different -- in the specific set of reservoir conditions. So pressure, rock hardness, how brittle the rock is and then dialing in also the size of the frac, the intensity of the frac. What makes sense for that particular area around that well and the diagnostics all the way to validate if you've created well interference between the two. So I think the opportunity for more clients to adopt a measured approach using diagnostics bodes well for us.  Secondly, more to come on this pretty soon. We're going to engage -- we're engaged with a number of companies right now, looking at taking a, sort of, multi-company approach to validating a process for finding out optimum well spacing.  One other point here on diagnostics, and that is don't forget, just like the example I gave earlier today, diagnostics also have a role to play in completion in conventional reservoirs, particularly, some nice jobs for us in offshore like the one that I described earlier today for LLOG Exploration where there was a big decisions on frac packing had to be addressed. So we do get to play in that arena too. And if that picks up both domestically and internationally there is opportunities for the tracer side of our Production Enhancement business.
Scott Gruber: Any color on the international side of the Production Enhancement growth currently and how you see that going forward?
Lawrence Bruno: I think in-line with the overall numbers we put out before. We've seen improvement year-over-year and I think we'll stick with the, sort of, the mid- to upper single-digits projection for next year.
Gwendolyn Schreffler: Chris, will take one more call.
Operator: Last question is from Vaibhav Vaishnav of Scotia Howard Weil.
Emily Boltryk: It's Emily on the line for Vebs. So I'm wondering if you could just help us quickly think about the impact of the divestment you did in Apache last quarter. If I remember correctly it was done in June. So you had a $2 million revenue impact for the quarter for 2Q. And then if I think about 2 more incremental months of impact in 3Q, would you say, it had like a $3 million, $4 million revenue headwind in the Reservoir Description for the quarter? And then if I could add to that, if you could give some color more generally on what's keeping decremental for the segment at such low levels that would be helpful as well.
Christopher Hill: This is Chris. So with regards to the divestiture that you mentioned, yes, that was done about mid-second quarter and we did highlight that. So that was -- if you're trying to compare year-over-year, you do have to subtract out some revenue. That was probably in between $1.5 million to $2 million for Q2 and probably around $3 million, if you wanted to try to forecast that going forward on a quarter basis, so that did happen. That is a little -- if you're trying to look at top line year-over-year that is bit of a headwind, I guess or detracts from some of the growth that's in those businesses. And Gwen, did do want to talk about some of the guidance?
Gwendolyn Schreffler: Yes. So on the guidance, we estimated about 30% decremental margin on a sequential basis. And to manage that of course on the more permanent side we've been taking permanent cost out of the cost base since last quarter. And then we'll use furloughs to manage the cost base through Q4 because we think that's temporary in nature, and it gives us the benefit of retaining our talent.
David Demshur: Okay, Chris. So we're going to close now. In summary, Core's operations continued to position the company for activity levels in the fourth quarter of 2019. And we know significant challenges await. However, we have never been better operationally or technologically positioned. To help our clients to maintain and expand their existing production base. We remain uniquely focused and are the most technologically-advanced reservoir optimization company in the oilfield services sector. This positions Core well for the challenges ahead. The company remains committed to the industry-leading levels of free cash generation and returns on invested capital with capital being returned to our shareholders via dividends and future opportunistic share repurchases as free cash flow levels expand.  So in closing our 97th quarterly earnings release, we wish to thank all of our shareholders and the analysts that follow Core and as already noted by Larry Bruno, the executive management of Core and our Board of Directors give a special thanks to our worldwide employees that have made these results possible. We are proud to be associated with their continued achievements.  So thanks for spending some time with us this morning, and we look forward to talking to you with our next update. Goodbye for now.
Operator: Thanks very much, sir. Ladies and gentlemen, it concludes this conference call, and you may now disconnect your lines.